Operator: Good afternoon. Thank you for standing by. And welcome to the Second Quarter 2021 Conference Call and Webcast for Stryve Foods, Inc. As a reminder, all participants are in listen only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] If retail investors are interested in asking questions, please email Investor Relations at Raphael.growth@icirnc.com. [Operator Instructions] I would now like to turn the call over to Austin Ke, Vice President of Legal Affairs to begin. 
Austin Ke: Thank you, operator and thank you all for joining us today. With us today from Stryve Foods are Joe Oblas co-CEO and co-Founder, Jaxie Alt co-CEO and Chief Marketing Officer and Alex Hawkins Chief Operating Officer and Chief Financial Officer. Before we begin, I'd like to remind everyone that part of our discussion today will include forward looking statements which are based on our current expectations of future performance. Our actual results could differ substantially from these expectations. These statements are not guarantees of future performance, and therefore undue reliance should not be placed upon them. We do not undertake to update these forward-looking statements at a later date. We refer you to today's earnings press release and the SEC filings followed by Stryve Foods, Inc for a more detailed discussion of the risks that could impact future operating results and financial condition. In addition, today's call may also include non-GAAP financial measures such as EBITDA. Non-GAAP financial measures should be considered as a supplement to and not a substitute for GAAP financial measures such as net income. We refer you to the reconciliation of the non-GAAP measure to the nearest GAAP measure included in today's earnings press release.  I would now like to turn the call over to Stryve, co-CEO and co-Founder Joe Oblas.
Joe Oblas: Thank you Austin and good afternoon, everyone. On behalf of our entire team, I'd like to welcome you all to our inaugural earnings conference call. We appreciate your interest in Stryve Foods and your participation on our call today. As you know the Andina Acquisition Corp. III, special meeting of shareholders on July 19 resulted in a vote of overwhelming support in favor of the Stryve Food business combination. I'm incredibly excited for our team to speak with you today about our strong Q2 growth across net sales, gross profit, gross margin, a rapid expansion at retail and across e-commerce platforms in our operational improvements. As I said since I founded Stryve we believe Stryve is a unique and compelling investment opportunity that is poised to change the way America eats and can help make us a healthier nation. We have developed unique products and air dried meats that appeal to healthy snack seekers, many of whom are not consumers in the meat snack category today. But more broadly, we view ourselves as building an emerging healthy snacking and healthy eating platform that can continue to disrupt traditional CPG categories.  Over the past two years, I have assembled an impressive management team that have already proven themselves in operating and scaling profitable businesses in both the public and private markets. And we have also assembled a board of directors of talented industry veterans who will help guide Stryve through this next phase of growth. We believe Stryve is an exciting story that is second to none in the healthy snacking in food space and we are ready for rapid growth and the delivery of significant value creation. In terms of market size, we are competing today in a $110 billion snacking category. We're going after a very large total addressable market. We believe our manufacturing capabilities greatly differentiate us as a healthy eating company with more than 100 million revenue achievable based upon current capacity and additionally, there are high barriers to entry for competitors to build an air dried meat plant which is one of the many reasons vertical integration is a huge strategic advantage to us.  Looking across the various CPG snacking categories, whether it's sweet, salty, or high protein snacks, there has been consistent disruption and consumers are gravitating towards the new innovative emerging brands. And in cases where new entrants are competing head to head with companies, 20 to 50 times their size, they're competing favorably, and significantly outpaced the old legacy brands especially when it comes to health driven products and innovation. These emerging brands are also far more nimble when it comes to exploiting opportunities that are discovered as the businesses scale.  Our air dried beef is an all natural and minimally processed using only vinegar and spices as the other ingredients are never cooked and are free of any nitrates or preservatives. Yet our products actually have a longer shelf life than most other meat snacks set up to 15 months. Products offer something U.S. consumers have never had before. A high protein zero sugar, no preservative, great tasting snack that is perfect for low carb, paleo and keto diets. Our air dried meat products are not beef jerky, they are healthier and taste amazing. Air dried meat is relatively new to the American market. But it is a process of preserving meat that has been around for approximately 500 years. In South Africa, it's called Biltong, in Latin America, it's called CARNE SECA. This process of creating meat snacks is utilized throughout the rest of the world. But air dried or uncooked meats which are shelf stable and safe cannot be imported into the U.S. USDA has also been very slow to approve air dried beef manufacturing facilities creating high barriers to entry. Currently, we offer our air dried meat snacks under four brands, two of which we have built in two we acquired. Stryve is our flagship brand and is bigger than all the others combined. Kalahari snacks as a brand that we acquired in December of last year. It's the number two built on brand in the U.S. and number one in the natural channel. Braaitime our authentic South African brand was created by Warren Pala, our Chief Manufacturing Officer when he came to the U.S. from South Africa and was acquired by Stryve as part of the acquisition to bring on his manufacturing operation. And finally, we recently launched Vacadillos CARNE SECA. CARNE SECA is Latin America's version of air dried beef. This brand is targeting the approximately 16 million Hispanics in the U.S. and we believe it will have great crossover appeal to all Americans because of its great taste and texture. In addition, I mentioned we are a healthy snacking and food company not just an air dried meat company. We are continually evaluating other snacking and healthy eating categories to determine how we can make them healthier and develop great tasting products that fulfill our mission to help Americans eat better and live happier, healthier lives. Based on our extensive experience in health and wellness in previous companies that we founded, scaled and sold the next vertical we are entering is functional nutrition. We saw an opportunity in the functional nutrition space to develop products that deliver better nutrition and better taste than what is available in the market today. To that end, we recently introduced a new product line called Stryve Nutrition. Today this includes two exciting products Stryve Nutritions Collagen and Bone Broth products. Stryve Nutritions Collagen is launched on Stryve.com and we anticipate will be coming soon to Amazon and other select retailers. Stryve Nutritions Bone Broth will be available in the coming weeks on Stryve.com and we anticipate will also be coming to Amazon and select retailers. Both of these product lines are non-GMO all natural, gluten free, soy free and dairy free. We believe this products are a logical extension and natural complement to our popular all natural and healthy air dried meat snacking product offerings. And true to Stryve's DNA our Stryve nutrition products are packed with protein and contain no sugar and nothing artificial. Given that they only launched a few weeks ago it'd be premature to discuss specific results I will say however, that we are encouraged by what we have seen thus far. And we see this as a great opportunity to rapidly scale to include other products under the Stryve Nutrition umbrella. With that I would now like to turn the call over to Jack, he will talk about our strong Q2 performance and the momentum we're building for our business and our brands.
Jaxie Alt: Thanks Jo. Let me start by saying how pleased we are with what we've accomplished to-date as we begin this new chapter as a public company. On top of successfully integrating Kalahari snacks this past February to further solidify our position as the largest supplier and branded owner of air dried meat in the United States we have also delivered strong top line growth and more than doubled our gross profit so far in 2021. And as you heard from Joe, we are now launching products in our second vertical under Stryve Nutrition.  To briefly summarize our quarterly results as compared to the prior year period we grew our top line by 72% significantly improved our gross profit by 148% and increased our gross profit margin from 33.7% to 48.7%. We believe this level of margin generation is among the highest in the healthy snacking space and is likely to improve as we realize the advantages of scale. As you can see, this has already been a truly exciting year for Stryve and we are just getting started. Those of you who are less familiar with Stryve we have a simple mission to help Americans snack better and eat better so they can live happier, better lives. We all know that two thirds of Americans and one third of our kids are obese or overweight. And that is just not a okay and while there are many reasons for this, one of them is how we all snack and more broadly how we eat. We are a nation of snackers. We mostly snack on unhealthy foods like chips and crackers and cookies, highly processed foods with little nutritional value. Our intention at Stryve is to change that because we believe that if you eat better food, you will live a happier and better life. We think of ourselves and encourage you to think of us as an emerging healthy snacking and food platform focused on manufacturing and marketing that can disrupt traditional categories with highly differentiated healthy snacks and food products. We realized the first opportunity was to innovate within the protein space, and more specifically, the meat snack vertical, because it was a category that hadn't had real health innovation in quite some time and bringing our air dried meat snacks to the market has provided us with something Americans and our retail partners have never had seen. High protein zero sugar, no preservatives, meat snacks that tastes great. But foundational to everything we do is consumer insights into healthy eating and solving a real customer problem. And then building or buying differentiated products and brands.  In our analysis of meat snacks, we realized that the needs of healthy snack seekers, women and Hispanics were not being met, or the options available in the meat snack category. And all those groups under indexed for meat snack consumption. So we dug in and created brands and products to introduce these people across gender and demographic lines into the meat snack category by solving for their specific needs. We believe our brands and products provide us a tremendous opportunity to bring new participants to the category and build the incrementality for the category for our retail partners. Air dried beef is a better for you alternative to traditional jerky because it contains approximately 50% more protein, zero sugar, zero additives and tastes great. And while many jerky companies are coming out with zero sugar offerings in our opinion, they don't taste very good and taste is so important in getting consumers to gravitate to a healthy snack and keeping them as repeat customers. And repeat is a key pillar to our marketing strategy across all our brands. As we introduce America to air dried meat our marketing strategy is one build awareness, two, drive trial and three support repeat purchases.  Given our current size, we are very disciplined and focused measuring the impact of our spend, making sure that our marketing dollars are thoughtfully deployed. Because most Americans don't yet know the benefits of air dried me we have a three pronged approach to building awareness. For example, on the Stryve brand, we have a very strong digital media plan across platforms like Facebook, Instagram, YouTube, Google and Pinterest. Next, we work with a network of social media influencers called our Stryve Squad to amplify Stryve and built on to their audiences. And finally, we have an aggressive more traditional PR plan to get trusted media outlets to talk about Stryve and recommend trying us. We deploy marketing dollars also against shopper marketing plans for specific retailers to drive trial with their shoppers. Additionally, we have several territory sales managers who drive around and purple sales Stryve vans we lovingly call the beef bus where we sample at retailers and local events like 5Ks and food festivals. We support repeat through digital media, robust email marketing, a texting strategy, as well as innovation launches with give us news to tell consumers about. Now let me speak to the tremendous growth in both retail channels and an e-commerce this year. Wholesale revenue contributed 45.6% of net sales increasing 57% year-over-year. We continued our rapid retail expansion by launching our products in target across 219 stores in April, Wawa chain wide in May and Dollar General across 3600 stores in May, in total by the end of the second quarter our distribution encompassed more than 10 unique sales channels and more than 25,000 retail doors. Subsequent to the end of the second quarter as we recently announced we add a new distribution representing more than 4000 additional convenience stores and retail locations, including expanded distribution agreements with 711, Circle K and Wawa to increase penetration of Stryve Beef Biltong, Kalahari Biltong and Vacadillos CARNE SECA. Recently, we gained distribution in the Northwest region of Costco for Stryve, which hits shelves about two weeks ago. All in all, we are excited to be nearing a footprint of 30,000 retail locations as we achieve distribution momentum in the marketplace with our delicious and healthy snacking products.  I think it's important to spend a moment to talk about on shelf performance; one of the stronger indicators of the health of a brand is retail velocity or said another way, how much of a product is sold per store per week. We tracked this closely through spins, IRI and even some data sharing directly from our retail partners. We know that on shelf velocity is a key driving factor in retail buyers decisions for increased store counts and additional placements. As such, it is a key metric for us and I'm proud to say that the most recent spins data our units per store per week velocity was up 63.2% versus the same 12 week period a year ago. While we know the economy opening back up certainly contributed to this. We also know that our marketing efforts are working because we are far outpacing other better for you meat snack brands velocity games.  Additionally, early feedback from target shows strong velocities for their set, eating even some well established brands in the space. Also, despite only having been on shelf at Costco in the northwest for a couple of weeks, we're seeing really promising signs that our brands will do very, very well on the club channel. And to round out the point on velocity after only being in distribution for a few months at Wawa, the additional placements we were awarded in 900 locations is certainly a testament to our on shelf performance. However, even with all these amazing retail partnerships we have today, we believe there is still so much upside when it comes to traditional retail, we have huge opportunities to add doors. For instance, there's over 100,000 convenience stores in America alone. We're nearing 30,000 doors across all retail channels, so we're just scratching the surface. We can also meaningfully grow revenue by adding more SKUs on shelf to increase our penetration within each existing door we already have. In addition to retail we have also built a very strong e-commerce platform that has continued to perform extremely well for us. E-commerce accounted for 39% of sales in Q2 increasing 55% year-over-year. Direct to consumer e-commerce not only provides us with an outstanding margin that is superior in wholesale distribution, but also enables us to have a direct relationship with the consumer and build really loyal brand lovers. And I'm proud to say that 65% of our e-commerce revenue is our own .com versus 35% from Amazon and other third party online sellers. We sell on Amazon as consumers are there. But on our own.com we make higher margins have far better control over shipping and inventory can utilize email and texting to drive sales rapidly and contest and innovate with very little upfront costs. E-commerce gives us the ability to truly reach every American consumer and deliver our products right to their doorstep and it is a key pillar to our distribution strategy.  And looking ahead, we are beginning the rollout of a robust innovation pipeline in [indiscernible] snacks and beyond. Today, we launched our new Stryve Biltong single serve variety snack packs with eight small bags per unit 4 hickory and 4 original. This package innovation enables us to secure new consumption occasions like lunchboxes, desk drawers, gym bags, backpacks and more. The newest addition to our Healthy Eating platform as Joe discussed earlier is Stryve Nutritions Collagen and Bone Broth powders. We chose to enter this categories we have extensive expertise in product development, manufacturing, and marketing in this category and we believe that there is real whitespace in the nutrition category for products that deliver better nutrition and better taste than what is on the market today. We are very optimistic on the future of Stryve nutrition. As said earlier that two parts of our winning formula were marketing and manufacturing. So I'm going to turn it over to Alex to talk about vertical integration and the strategic advantage that gives our business and then he will walk through our Q2 financial results in more detail. 
Alex Hawkins: Thanks Jaxie. Vertical integration is a key part of our winning formula. We build the largest air dried manufacturing facility in the U.S. with a full grant of inspection by the USDA. We designed the facility and invested heavily in automation, which will allow us to achieve over 100 million of revenue capacity with only modest capital expenditure required. There are also considerable barriers to entry created by the USDA's regulatory oversight of the space. They've been extremely restrictive on improving facilities for air dried meat production. Our Chief Manufacturing Officer spent over nine years working with the USDA to establish the food safety protocols for Biltong production in the United States. To our knowledge, there is minimal installed capacity in the U.S. for air dried meat production, which places us in a dominant position as the first mover in the category. Being vertically integrated affords us with a margin advantage over our competitors, increased speed to market for innovation. The ability to manufacture private label products for retail customers looking to carry air dried meat snacks under their house brands and arguably the most important in today's climate supply chain security, knowing that we don't have to rely on others to manufacture our products. Ultimately, the excess capacity in our facility provides us meaningful opportunities to expand our margins with growth. As you can see in our second quarter results, we continue to demonstrate significant sales growth with improved gross margins more broadly with [UR] performance has evidence of a growing trend of consumer adoption, as well as underlying the operating leverage inherent in our business model as we scale. All in all, we think there are four key takeaways here. First, existing category size, platform expansion opportunities, and demand for innovative products paved the way for long term growth. Second, vertical integration supports attractive margins and scalability. Third, direct to consumer and consumable products provide a recurring base of orders. Fourth, fixed versus variable cost structures support significant operating leverage as we scale.  For the second quarter, net sales increased 71.8% to $7.4 million, compared to $4.3 million in the year ago period. The increase was driven primarily by continued strength of our direct to consumer e-commerce sales platform, increased sales to existing wholesale and private label accounts, and net new sales related to additional distribution secured in 2021 in a number of key retailers. Cost of goods sold increased 32.9% to $3.8 million during the quarter, compared to $2.8 million in the year ago period, driven primarily by increased sales volume and here's the exciting part gross profit increased 148.3% to $3.6 million in the second quarter from $1.4 million in the prior year period. As a percentage of net sales gross profit margin improved year-over-year to 48.7%, up from 33.7%. The increase was driven by strong sales performance improvement in manufacturing process that resulted in an increased efficiency in production yields, as well as mix ship due to greater emphasis on direct to consumer e-commerce sales. And turning to our other expense lines, selling and marketing expenses as a percentage of net sales increased to 470 basis points to 58.1% compared to last year's quarter, primarily due to increased marketing efforts including visual media, advertising and paid search. Operating expenses as a percentage of net sales decreased by 50 basis points to 13.2%. General and administrative expenses increased from $0.3 million to $1.3 million during the second quarter, primarily driven by a significant increase in professional service, consulting and legal expenses related to the company's business combination. Salaries and wages as a percentage of net sales decreased from 34.8% to 21.8%. EBITDA, a non-GAAP financial measure was a $4.0 million loss, compared to a $3.2 million loss in the prior year period. However, our results this year were negatively influenced by certain non-recurring expenses primarily related to the business combination and related transactions. Excluding those onetime items, we would have narrowed our EBITDA loss. In keeping with that same theme, net loss during the second quarter of 2021 was $5.6 million, compared to a net loss of $4.5 million in the same period last year. Again, the increase in net loss is primarily due to professional service consulting and legal expenses related to our business combination paired with increased selling and marketing expenses, as well as increased operating expenses. These were all partially offset by growth in net sales and gross profit. Additionally, in June of 2021, we paid off certain indebtedness owed to the sellers of the Kalahari brand, which enabled us to recognize a gain on the extinguishment of the note in the amount of approximately 0.6 million. As you can see, our investments in people, infrastructure, and vertical integration are paying significant dividends as we grow. We are now generating gross profit and an increasing margin while significantly narrowing our EBITDA and net loss as a percentage of net sales outside of onetime items. In short, these results are further evidence of attractive unit economics and a platform built for operating leverage. Together these create the potential for significantly improved margins as we continue to scale the business. Now I'd like to spend a moment looking forward. While we acknowledge that our business combination with Indiana closed roughly four months later than we had originally planned, delaying our ability to utilize the net proceeds received in the transaction, we still have enormous opportunity ahead of us. We now have the requisite funds to really launch our Vacadillos brand, which we believe will help drive meaningful growth for the business moving forward. We believe that there is a very robust market opportunity with roughly 60 million Hispanics in the U.S. today. And we've built a fantastic offering that we believe resonates well with that consumer base. Now armed with capital to support the launch, we are excited about what the future holds.  Additionally, while we had hoped that all major retailers would have returned to a normal reset cycle in early 2021, some large retailers opted to extend their stay on scheduled resets due to COVID-19. We view this as a great opportunity for us to continue to compile data evidencing our outperformance in both growth and velocity, so that we can fully capitalize on the resets we anticipate occurring this fall and into 2022. We believe our pitch to these retailers only gets stronger with each passing month is stellar performance. In addition, this data will not only support our conversations on the branded side, but we believe it will also help to drive greater interest in our private label services for these retailers. Regardless, we feel that we are in a strong position to capture even more shelf space over the next year.  Now looking more specifically at this year 2021. This has been a transformational year for Stryve. We have meaningfully expanded our distribution to nearly 30,000 stores. We developed a new brand Vacadillos. We successfully integrated Kalahari snacks launched into a new vertical. We've more than doubled our gross profit. We have grown net sales by over 70%. And last but certainly not least, we've successfully navigated the transition from private to public company. And it's only August.  With that, I'm pleased to share with you our first official guidance on net sales for full year 2021. We project net revenues of approximately 31 million to 34 million. For perspective, this reflects a robust increase of 82% to 100% compared to full year 2020. We believe that the achievement of this growth in light of such transformational change to be a testament to our winning formula, paired with a mission that resonates with consumers. And most of all, it's a testament to our people whose hard work and dedication have made everything that we're doing a reality.  With that, operator, please open the line for questions. 
Operator: Thank you. We will now begin the question and answer session. [Operator Instructions] Our first question comes from Mike Grondahl of Northland Securities. Please go ahead.
Mike Grondahl: Yes. Thanks, guys. And congratulations. Hey, maybe just on the retailers is there maybe a couple retailers that are outperforming your expectations that you could share with us? You gave us a little bit of color on a couple but which two maybe stand out the most?
Joe Oblas: Well, this is Joe, by the way, a bit a lot that have some really compelling stories to them. But one of them first and foremost that I'm probably most proud of is Walmart. Prior to COVID, we had a very extensive program, providing field support. And actually we were doing approximately 500 demos at the individual stores per week. And when COVID broke out that had to stop. And immediately our sales plummeted significantly. I think we dropped 75% over about a four week period. And then over the next three months, the sales slowly ratcheted back to about 75% of what they had been. And that was very impressive because we were spending a lot to drive the trial. But when as the calendar flipped into 2021 we just saw the numbers just take off, absent any demos or direct marketing programs in the wall. And now our velocities are higher than they've ever been. And we haven't done a demo in a Walmart store in nearly a year and a half. So Walmart would be one that I am extremely proud of. 711 would be another one, I think it's just been a been a fantastic partner to work with. And we only started out with a few 100 stores. And now we're in their national planner gram. So we're chain wide, and obviously, part of their footprint is franchise, which is another story, but I will say that, getting additional expansion, when you're already national with them, where they're bringing in not only additional Stryve products, but also giving us a launch point, in addition to Dollar General for Vacadillos shows what a wonderful partner 711 is, and the velocities really have had led our team to be able to start picking up so many additional convenience retailers based off of the performance of 711. 
Mike Grondahl: That's great to hear Joe. Related to the retailers any update on when you can get the slab into retailers hands? I know that sells really well on the e-commerce side. But what about timing in retailers? 
Jaxie Alt: I don't have timing for you. But I can tell you we're working very hard on it. It's a very different experience online, where it is one of our absolute top sellers, I can show an ad, I can show how beautiful the product is, I can show you slicing it, when just walking by the meat section or cheese section of the grocery store we've got to make sure the packaging works really, really hard. So number one, we're really working on the packaging design. We're working on fixtures in terms of how would it hanger be displayed. And the other is just making sure we're ready to scale because it's going to we think it's going to be very big, and we're really excited to take it to retail. 
Mike Grondahl: Fair enough. Fair enough. And then hey, just lastly, I don't want guidance or anything, but looking out two years what is Stryve Nutrition going to look like?
Joe Oblas: I think by – this is Joe again, but I think by default, I get this because I come from the nutritional industry. I think you're going to see a lot of products. We had a very strong off site a couple of weeks ago or myself, Jack and Alex were really able to kind of align a lot on the direction of where we're going. They kind of gave me the green light to build out the sweet, just with the prerequisite that every product is launched under Stryve Nutrition has to be all natural. Now coming from that industry and having successfully been in it for a long time. In the space, when you're dealing with only all natural there is a lot more work involved, because you don't get the benefit or the ability to use artificial sweeteners, which are really easy to work with. So we've got to really work through it. But we're looking at some very interesting categories. And it's got to be a place where we feel we can make a positive difference and not just be another me too. So we've identified several, I think over the next few months, we'll start to see them. But I would expect that over the next few months really directly answer your question. I see it having a very strong e-com performance. I see obviously, well, being in the strong retailers here, I'd love to see it in the FDM channel, which is a food drug and mass. Now where it's a little bit different to Stryve. And I think the opportunity becomes very large is that historically in that industry, most of the U.S. brands at least from my experience, were generating about half of all of their revenue internationally. And that's a lot more different for the air dried meat snacks, just because with the importing and exporting of meat products, various countries have so many restrictions, and within nutritional products between myself and our chairman Ted Casey, I think we probably have relationships with about 100 international distributors who we built relationships with over a long time. So I would expect to get very big very fast. And we're just excited to get it launched. The collagen products are great, and I've got some on my desk right now. 
Mike Grondahl: Great, good to hear. Thanks, Joe and team.
Operator: Our next question comes from Alex Fuhrman of Craig Hallum Capital Group. Please go ahead.
Alex Fuhrman: Great, thanks very much everyone for taking my question. I wanted to ask about gross margin. Pretty big number here in the Second quarter of nearly 50%, which is more than what the business has done historically. Can you talk a little bit more about that increase? How sustainable is it? Is there anything in particular that drove it? And then as you think about scaling closer to your $100 million revenue capacity, what path do you think growth margin is going to take here over the next few years?
Alex Hawkins: This is Alex. I'll take that one. So as we shared vertical integration, super important what we do and it's what allows for that gross margin. And we have excess capacity, that facility that is we continue to scale, we absorb that capacity, and without having to put in incremental fixed costs or headcount, because we are highly automated as well. And so as we scale, we absorb that excess capacity. And we see operating leverage within our cost of goods, in addition to throughout the entire P&L. So that's probably the largest driver that's pushing that margin upwards. And then certainly, it's positively benefited by our mix of business right now which is a significant contribution from direct to consumer e-commerce which is certainly attractive as well. I think as we continue to scale, we'll see that margin to continue to improve. And one other piece of it is that we have been able to further integrate part of our manufacturing process or more supply chain, where we were previously procuring meat and certain inputs that needed to be processed by a third party before we could then put them into production. We've now tweaked our manufacturing process to allow for that to happen in house, which allows us to significantly reduce our input price on an effective basis since we are now doing that ourselves, which has also contributed to this improvement. So we'll continue to see that margin scale modestly from where it is, as we scale our revenues as we certainly hit that inflection point to see that operating leverage within cost of goods and gross margin. 
Alex Fuhrman: Great, that's really helpful. Thank you. And then I wanted to ask also about your retail distribution. It looks like you've added a lot of new accounts this year. As we think about the nearly 30,000 doors that you're currently in, is that mostly the flagship Stryve brand? Can you give us an update on how many doors some of your other brands like Vacadillos and Kalahari and Braaitime are in? 
Jaxie Alt: Yes, Vacadillos is in $3,600 generals and then it is in about 900 Wawas and several other 500 or so convenience store. So you'd be up to about 5000 on Vacadillos. Braaitime is only sold online. Kalahari is number one in the natural channel. So when you think about not yet in whole foods, we're working hard on that. But probably about 2000 when you think about all of the independent natural stores, [indiscernible] natural grocers, all those so and then the balance would be Stryve which we said previously is our biggest and flagship brand by far.
Alex Fuhrman: Okay, great. That's really helpful. Thank you.
Operator: I would now like to turn the conference over to Mr. Gross for any questions submitted by  email.
Unidentified Analyst: Thank you. I'm going to just read some of the questions I've received from retail investors. First question is the following. What gives you a competitive advantage with respect to Biltong and the broader segments of healthy meat snacks?
Jaxie Alt: We can all take a piece of that one. So I mean, I think Alex mentioned manufacturing and that is absolutely just a key pillar of our strategy and something is such a competitive advantage that we are vertically integrated and especially for a lot of meat snack companies having supply issues right now and we are not because we own our manufacturing, it gives us great speed as well. Our marketing team is very tight with our manufacturing team and we had something come up today where a customer wanted to place an incremental order for quite a large order and needed it fast. And because we have our own manufacturing, we're able to fulfill that order. So hugely important. And then I think when you think about air dried meat, we have a differentiated product. We have so this is not just another beef jerky, this is truly better for you. 50% more protein, no sugar, nothing artificial. And there are some beef jerky brands that have come out with zero sugar products. They really don't taste very good. We still beat them on percent of protein, and the fact that there's nothing artificial. And this product truly tastes great. Now, this is a healthy product that tastes great. And so I think when you look at that true product differentiation, you look at our manufacturing. And then I think that we've built a really great brands that consumers really love. So it's not just a product Biltong we've got a great brand in Stryve we've got a really unique brand and Kalahari all about adventures. And then I think for the carne seca or the air dried beef that it's from Latin America, Vacadillos really, really grounded in consumer insights built upon the 60 million Hispanics in the United States that we said, what there is really not a meat snack that is built for them with the flavors that they really want and we built it. So again, highly differentiated. So I think from both a consumer marketing and manufacturing standpoint, we have true points of difference versus other meats snack competitors. 
Joe Oblas: And I'll just add one point, this is Joe just adding to that is that I think because of the sense of a driver of incremental growth, the categories is what's really taking buyers as they're looking at what to add to their assortments not being just another beef jerky or something they're so similar to the assortment gives them the ability to drive more velocity into their categories, which is really how they're judged internally by their employers. So now we're to a point where when our sales team goes to a meeting, which now we're starting to return back to normal, which are seemingly turning back to normal, which is great. It's not any more about if they should put us in, it's when they should put us in, how many stores are going to start with and how many SKUs which is leading to why we're building such strong momentum and adding new retailers constantly. 
Unidentified Analyst: Great, thank you. Next question. Can you discuss why you decided to enter the nutrition category in general, and launch Collagen and Bone Broth powders in particular? How big is the category and why is this a natural extension of what you're already doing? 
Joe Oblas: Well, the category is enormous. I don't have all the data figures here because the category also splits across nutrition but also starts to do infringe into the beauty category. Why did we choose to go into this? We chose to go into this because one, I have tremendous experience in there as does our chairman. We have such a robust e-com and Jaxie pointed out earlier in our earlier remarks, that we have a very significant business in our own .coms and our own .coms it's a nice add to be able to put a product that you can inexpensively sample into all the packages going out and we send out hundreds and hundreds of packages per day that we have an opportunity to really appeal to a wider audience. And if we're targeting our Stryve nutrition products, we're really focusing on these healthy snack seekers. So healthy snack seekers are buying our air dried meat snack products are likely in logical consumers of the Stryve nutrition products. So tapping on those resources, getting a head start plus having between Ted and myself a combined 30 years in the category, we feel that we can favorably compete and we saw a lot of great opportunities to continue to develop just like we both had done with our previous companies. 
Unidentified Analyst: All right. The question on Vacadillos. Can you see this brand rivaling that [strive] over time, given the large Hispanic population and their familiarity with the air dried meat products? 
Jaxie Alt: Yes we absolutely do. We're very excited about Vacadillos and I think it's not only the 60 million Hispanics that are in America, but the influence they have on American culture, specifically food and beverage, we think this will cross over into the mainstream. And we think especially at convenience, this is going to be an absolute winner and will not only reach the Hispanic consumer that's in there, but as well as general market who's going in for a tasty snack. We know that these flavors are not really available. It's a chili lime habanero, we just launched a scorpion, which is a very hot flavor, and those aren't available. But those are very, very appealing flavors to the general market as well. So we absolutely think that it can become a very large business over time.
Unidentified Analyst: All right. What can you tell us about your velocity? Is it increasing, decreasing? What is the latest trend?
Jaxie Alt: Well, as we mentioned earlier, velocity is greatly increasing. And we're very excited about that when we look at the latest 12 week period versus a year ago. And what we're seeing is velocities that are larger in many cases than pre-COVID. So we feel like we've gotten over that hump of when everybody shopped differently and retreated. And so we're seeing velocities rise, and we track versus many of our competitors in the better for you space, and our gains are higher than their. So we feel very good about where our velocities are. 
Unidentified Analyst: Great, thanks, Jaxie. What have you learned from operating in a COVID environment? 
Jaxie Alt: How long you got. I am just kidding.
Joe Oblas: I think one of the things that we've really made an effort to do is to make sure our employees know that we care about them, how they're feeling, their safety, and their growth within the organization over time. I think certainly it's no secret that across the entire economy, there have been labor challenges, both directly attributable to COVID and restrictions, and also just other general economic reasons. So we've really made it a concerted effort to focus on our people, and how we can make sure that they are safe, that they're operating in an environment that they feel comfortable in and that they feel rewarded and engaged to continue to execute and do their best.
Jaxie Alt: I want to say two, I think. We have definitely learned we've got to use our sides to our advantage, which is we're small versus many CPG players. So we can be nimble. And as consumers change when people retreated, we were able to shift our e-commerce business to be even more of a focus. When it was very hard last March, April, May, for small brands like ours when, as Joe mentioned, there was no sampling going on, it's very difficult. So I think that's another thing is make sure that we are able to pivot quickly, be nimble, and realize that things are going to be changing. And we'll continue to.
Joe Oblas: Yes. I think the round out there, I think, is to stay aggressive. I mean, one thing, if you look at our growth year-over-year, we stayed aggressive. We grew. A lot of brands went backwards, a lot of people stuck their head in the sand. And we push forward, and I think we've been rewarded. We've recently picked up some great opportunities with some additional new retailers, that their vendors were having supply issues. So we were able to continuing to expand our footprint, just because we're there, and we're aggressive, and we're ready to turn things around and get to work. So we've been fortunate and not having any business interruptions to speak of. And we've all dealt with COVID. And I think as Alex said trying to keep everybody safe, but by while keep pushing the ball forward, because in times like these where a lot of people are retreating as an opportunity for a company like ours to push forward. 
Unidentified Analyst: Great. Final question. What is your estimate for cost inflation? Have you taken or do you plan to take pricing on your products and if so how much? 
Alex Hawkins: So that's not something that we're prepared to share at this time. I think we are cognizant of overall commodity price input pressure that's affecting the meat stock market today. As I mentioned before, through some engineering on our side we've been able to lower our effective costs of goods on a per unit basis despite some of these increases the overall market is facing and we feel that helps us be in better position. Initially we're vertically integrated. We have a lot more margin advantage over our competitors there and room to play with. So I don't know that we will be able to provide at this time any kind of specific guidance on our inflation assumptions or potential price increases in the future. 
Unidentified Analyst: All right. Thank you. Those are all the questions from retail investors.
Operator: This concludes the question and answer session. I would like to turn the conference back over to Mr. Oblas for any closing remarks.
Joe Oblas: I definitely want to thank everybody for attending and showing interest in Stryve. We're excited. It's our first call, so bear with us just a little bit. But once again, thanks, everybody and have a wonderful night and hopefully we see all around soon. Take care.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.